Operator: Good morning. My name is Erica, and I will be your conference operator today. At this time, I would like to welcome everyone to the Wix.com 2019 Second Quarter Financial Results Conference Call. [Operator Instructions]
 I will now hand it over to Maggie O'Donnell, Director of Investor Relations. 
Maggie O'Donnell: Good morning, everyone. Welcome to Wix' Second Quarter 2019 Earnings Call. Joining me today to discuss our results are Avishai Abrahami, CEO and Co-Founder; Nir Zohar, President and COO; and Lior Shemesh, CFO. During this call, we may make forward-looking statements, and these statements are based on current expectations and assumptions. Please consider the risk factors included in our press release and most recent Form 20-F that could cause our actual results to differ materially from these forward-looking statements. We do not undertake any obligation to update these forward-looking statements. In addition, we will comment on non-GAAP financial results. You can find all reconciliations between our GAAP and non-GAAP results in our press release, presentation slides, shareholder update and our interactive Analyst Center on the Investor Relations section of our website, investors.wix.com. 
 Now I will hand it over to Avishai Abrahami, who is going to say a couple of quick words about the quarter. Avishai? 
Avishai  Abrahami: Good morning, everyone. We had another great quarter at Wix. Both collection and revenues were above our guidance. And we grew free cash flow by almost 30%. We continue to improve our overall offering and expand our reach into new markets and products. These results demonstrate the success we have had this year. A little more than a year ago at the Analyst Day, we talked about how Corvid would expand our addressable market by attracting more professionals to Wix. Today, I'm happy to say that we clearly see this is happening. The Professional segment on Wix is growing faster than ever before, not only growing, but we also see new kinds of professional using Wix, like developers and large agencies. Corvid in a professional market adjusted a couple of initiatives that I believe will drive growth for us next year and in the future. And as you probably expect, we have more that we will announce next year. I'm very excited for the second half of this year. And for what is to come next year and beyond. 
 Thank you for joining our call today. And now, I will turn it back to Maggie. 
Maggie O'Donnell: Thank you. [Operator Instructions] Can we have the first question, please? 
Operator: Your first question today comes from Zachary Schwartzman with RBC Capital Markets. 
Zachary Schwartzman: Great. On the net sub additions, can you talk about those results and your new sub guidance for the year? Was this solely related to pricing? And why do you expect this to reaccelerate in 2020? 
Lior Shemesh: Zach, this is Lior. Sure. On February, we spoke about the overall -- the evolution of our business and focus on maximizing the Code lifetime value. And what happened this quarter is actually a continuation to that, and I will try to explain. In the last few years, our products have improved dramatically. And we have added many, many new products. For example, the many features within the ADI and the Editor, a lot of more robust vertical applications, ascend, third-party apps and obviously, much more functionality coming from the Corvid. So what we've decided to do, and that was back last year, we decided to increase the pricing to match those added product value. But we also increased pricing as part of the overall strategy to evolving our brand through the professional market, which we see a huge opportunity for us in the coming few years, and we spoke about it a lot. So actually, we had 2 phases. The first one started back in August 2018 where we moved the Connect domain and raised prices. The second one was recently on May when we raised prices again, obviously after testing many months the results and how the impact on the overall value of the Code. And that was the most recent price change. And obviously, it cause us to [ update the sub-S ] guidance, but that was also expected. We understand that we lost along the way those premium subscription that usually choose the less priced packages. By the way, we don't know exactly what will be the behavior in the future. They might join Wix or pay Wix in a later stage. But at the same time, we actually increased the value of the Code. And we provided a few graphs in order to show that, for example, the average collection per new sub was increased by 29%. And the first half Code collection by 9%. So that was actually anticipated. And -- but we believe that after this evolution that we went through, in next year, we believe that net premiums will be accelerated again. 
Operator: The next question comes from Deepak Mathivanan with Barclays. 
Deepak Mathivanan: So the first one, I wanted to ask a little bit about the agency partner efforts. Avishai talked about it briefly as well. So you announced the initiative two quarters ago. Is the team fully built out now? What were the expenses associated with this in the first half? And then how are you thinking about the revenue expectations in your guide from [ the efforts ], so in the back half of the year. Trying to kind of understand the near-term ROI of this program. And then a quick one on gross margin. It delivered by over 400 basis points as we kind of expected. Can you parse out the impact from customer experience build-out, Google Suite and then potentially payments contribution during Q2? 
Lior Shemesh: Yes. So with regard to the stuff about the agencies. I will start to say that most of it was already implemented. Obviously, the cost is according to track and we started -- we have a few more people to recruit, but most of the team out there, they are working. And we actually started to see them on the monetization of it already this quarter, and we anticipate that it will continue in the second half of the year. And that was part of the fact that we are a [ bit engaged ] for the full year. Obviously, we expect that the results of it will be much more significant in the coming 2 years. But everything is according to track. Actually, we have really, really good results coming from this thing. With regard to the gross margin. So first of all, it's according to what we've expected. We had some savings this quarter, some one-time savings, but the recruitment of the agents was according to the plan. So I expect that the yearly gross margin will be according to what we provided, but again, we had some savings, which is also always a good progress to have. 
Operator: The next question comes from Brent Thill with Jefferies. 
Brent Thill: Just back to the new premium subs. I think there's a concern that you're focusing more higher-end and you're [ banding ] the low end and causing some concern that, that customer base may not be as attractive to you. I'm not sure that's correct, but I'm just curious if you could just comment about how you think about the shift to the high end, but also making sure you're taking -- taking care of the lower end entry-level customers. 
Avishai  Abrahami: So this is Avishai. I think what you're seeing is a result of two different things. The first one, of course, is the product became more evolved and more mature and edge functionality and fast functionality, like I said in Corvid, we have the potential of going toward, of course, a higher customer -- paying customer base and more sophisticated professionals. On the other hand, we made a decision last year to remove the cheaper package that we have and -- which was a connected domain. And we did that mostly because we felt that customer that got it didn't get the same kind of experience it was expecting from Wix. And the result was that overall it kind of hurt our branding and the customer experience by having a brand [ elite ] and a lot of the functionality not available. It created the impression that the product is lacking. So the result was that we said, okay, we might leave a tiny bit of the money on the table, but long term, it's very important for our brand. So you're seeing both of those things happening almost at the same time, not exactly at the same time, right, because the first one actually happened last year. So -- and we are very happy with this change. As you can see, the changes actually increased our revenues per cohort, which is why we started to provide the graph that shows the cohort value themselves. And we still had 2.5 million free users every month and still nearly about 6 million, right, users this quarter. So we feel that we address 95% or 97% of the market now. However, when we do it with a much better product, and the result is that the future will be -- the branding effect of that for our customers and the customers of the sections is much higher. 
Brent Thill: And just a quick follow-up on Corvid. You mentioned excitement. When you think about kind of exiting late-stage beta to fully general availability, when -- are you still targeting the back half of this year? 
 [Audio Gap] 
Operator: It appears we have lost our connection to our speaker lines. [Technical Difficulty]
 [Audio Gap] 
 Brent, you may begin your question. 
Brent Thill: Just on Corvid, I know you mentioned recently you were late-stage beta. Are you still on track in the second half for GA and Corvid? 
Avishai  Abrahami: Sorry. I missed the first part of the question. 
Brent Thill: Just as it relates to Corvid. I think you mentioned that you were exiting -- you're in late-stage beta? Are you still on track for the second half of the year to go generally available on Corvid? 
Avishai  Abrahami: Yes, I think so. I do believe so. I think that the block is actually -- as you can see from the results, right, 1 million users and about 200,000 professionals are really heavily engaged with the product. So I think we are in a very good place. It's just a super sophisticated product. We expected beta and testing to be very, very complex, and we are happy to see that we are actually launching a bit ahead of what we expected. And thank you, that's really helping. 
Maggie O'Donnell: And we apologize again for the interruption here. 
Operator: The next question comes from Naved Khan with SunTrust. 
Naved Khan: I had a question on the expanded customer support. Seems like it's off to a good start. What kind of contribution should we be assuming from this effort this year? I think for next year, you already talked about around 500 basis points or so. How should we think about 2019? 
Nir Zohar: Naved, it's Nir. I'll let Lior jump in to the contribution answer in a second. I just want to say that generally, I think operationally, we are very happy with the progress here. We've reached the current head count that we were interested in, and we also already see great results simply by the fact that we now managed to kind of deliver 24/7, follow the sun customer service, which is something that we always wanted to do and it took us a while to get there. We're also really seeing amazing results in terms of the SLA, how fast a callback -- a call goes back to a customer, which is now a matter of seconds. So in that aspect, we're very happy. And then following to that, we are expanding our testing around the more innovative, personalized customer service that we believe can have a great impact going into next year. And I'll let Lior talk more about the contribution. 
Lior Shemesh: Yes. Since we are still in a testing mode and try to understand what will be the best monetization for us to use there. So I didn't take it into consideration into this new guidance. Obviously, if that happened, it would be a great upside. Certainly, we are still in line with what we provided for next year. 
Operator: The next question comes from Ron Josey with JMP Securities. 
Ronald Josey: I wanted to ask about 2 questions. I wanted to ask about pricing first. And we see the strength in the U.S. ACPS with a 29% growth this quarter. And with the U.S. accounting for about 50-plus percent of the business and post all the pricing changes, I just wanted to understand when we might start seeing average quarterly collections per subscriber, see that flow through. We saw that maybe a little bit in Q2. I just wanted to get your thoughts on overall pricing increase, how we see that flow through the model for the rest of the year and into 2020. And then on sales and marketing, it continues to be a source of leverage here. Just wondering if your philosophy around sales and marketing is changing given the rise of Corvid, the focus on more, call it, S&M businesses if you will versus micro businesses and the launch of 24/7 support. And just wondering if there are new avenues or partnerships that you might explore given you have all these new products. And you also mentioned higher quality users. So one, on pricing, and two on just sales and marketing philosophy. 
Lior Shemesh: Ron, this is Lior. So first of all, with regard to pricing and the average ARPU based on revenue. So the 29%, it's a great, great result. And I think that you just emphasized that this evolution and the changes that we've made with the pricing actually working. Remember that when you calculate the ARPU based on revenue, you have two impacts, which you need to take into account. The 29%, it is calculated on users and newcomers, while the ARPU is based on revenue, but also about all the historical cohorts and users that we have. So it will take a while until you actually see the impact of it, meaning that every quarter, you will see improvement in the ARPU. And I assume that it will actually continue for several years because the fact is that you have all of the historical users there, but it will continue to increase slowly but steady. 
Nir Zohar: Ron, it's Nir. I'll take the second part of your question about the sales and marketing. So I think generally, when you think about our marketing and our strategy, I would say it has not changed. If you remember on our last Analyst Day about a year ago, Omer, our CMO, spoke about his kind of a goal to become one of the top 100 brands on the globe. And we definitely think that we are -- we have a shot at the title, so to speak. So I think in that aspect, you haven't -- we are not changing the philosophy. We are exploring more avenues all the time testing and experimenting with others [ also because of traffic ] some of which are -- can be more relevant for more professional crowd. And that's definitely something that's really interesting to understand. I would say that the one area where you were doing kind of maybe a little bit different than the regular TROI perspective is our investment into the Partners initiative, the one that we spoke about when we explained the investment as well as the buildup of the team in New York. And there, obviously, we want to find the best way to work with these people in order to deliver value to them, so they can deliver value for their own customers. And that's definitely something that we are strong believers is going to keep on expanding and have an impact on how we do in terms of marketing, but it's not going to change the core philosophy. It's going to be an add-on to it. 
Ronald Josey: Any like recent updates around the partnerships or anything around there would be helpful? 
Nir Zohar: So I think we covered most of it in what we spoke about before. We have tens of thousands of partners already using Wix. I think that's a large part of the success we're having there. And it's very clear to us now that we are doing a much better job of talking to them and understanding their needs and helping them succeed -- achieve success is obviously Corvid. Clearly, I think that without Corvid if we tried to do the same thing 2 years ago, we would be very limited in our ability to really help these guys be successful. And I think that's, in large part, why we're so excited about Corvid because it helps us expand our TAM significantly. 
Operator: The next question comes from Jason Helfstein with Oppenheimer. 
Jason Helfstein: I'm going to ask 2 questions. So now that you're targeting agencies with a 70-person team, how should we think about CAC to LTV for those clients? And just given that, I would imagine it's a different calculation versus your typical SMB, the way you've historically measured marketing. And I think one of the things that's notable is marketing, I think came in meaningfully less than, I think, the Street was expecting in the quarter. So maybe just talk about that and how it ties to marketing. And then if you can give us some more color on gross adds versus churn for SMB following the price increase. I know you don't want to give specifics, but did you see greater movement in kind of one versus the other, meaning gross adds versus churn in the quarter? 
Nir Zohar: Jason, Nir here. I'll start with the first question, and then I'll hand it over to Lior for the second part. So I would say that in terms of [ this quality ] in terms of the partners, it's over 2 million registered users in months. We don't really -- at this point at least, we don't have any need to go after them. They come to us, and it's more about our ability to recognize them and understand their needs and then help them down the line to become very successful. I would assume that over time, as we learn and we improve in it, then -- and we'll move through the data, we'll be able to have a better calculation of their additional value that we bring to the court, which is obviously much higher than the regular DIY users that we absorb in. So actually, on the size of the CAC, it's probably not really changing, at least not at this stage. But the value is going to be tremendously higher. Lior, do you want to take the second? 
Lior Shemesh: Yes. With regard to the growth in churn. So Jason, you know that we provide this information based on the Code, and we also recently introduced the new KPIs. We are talking about the Code value. And obviously, we see that it increased, but I want to emphasize something that I'm happy that you asked it because as part of the evolution, we said that we are -- we changed the prices, we increased prices. And it will 
 [Audio Gap] 
 in a way on the account of some customers. But most of them, obviously, are low-income customers with the lower-priced packages that used to be previously. So I do expect, obviously, that those customers traditionally came with a higher churn. So obviously, I expect medium and long term that we are going to see improvements over there. And we actually already started to see that. But I think that it will be more significant in the future. And that was also part of the reason why we see increase in the lifetime value of our Code. 
Jason Helfstein: And just why marketing was lower maybe than people expected or... 
Lior Shemesh: No. So marketing this quarter, by the way, it's -- in a way, it was a similar pattern to last year. Q1 was significantly better than or stronger. And usually, this is what happen. It's the seasonality that Q1 is a very strong quarter. So if you compare Q2 to Q1, obviously, there are differences. But nothing happened beside of that. You can see by the way -- by the number of users that we managed to bring in. We are according to the same KPI with the same TROI. So nothing changed there. 
Operator: The next question comes from Ygal Arounian with Wedbush Securities. 
Ygal Arounian: So on the agency partners, you've noted having tens of thousands of agency partners. I think you've noted agency partners in the thousands previously as well. Can you help us understand how the pace of the ads has changed since you started the marketing effort, rolled out Corvid, kind of stepped into this a little bit more? Are you -- is there any way to parse out how much of -- how much it contributed this quarter? How much you're expecting to get, to contribute next year? And the key KPIs for us to look for, for investors to look for. Ostensibly, if agencies are driving multiple subs per agency, and they're coming in with higher intent, that should translate to better conversion, again, over time and acceleration in sub growth. Is that the right way to think about it? And then real quickly on pricing. I just want to be clear. Was this a planned 2-part price increase rollout? What did you see that made you confident to raise prices again? And how do you think about raising prices again in the future? What's the right way to think about that? 
Lior Shemesh: Yes. So I will start with the first question about the agencies. We don't provide information about how many agencies and what is the addition. But obviously, we've added many, many new agencies, and we already start to see the contribution. Now bear in mind that -- and this is traditionally what's happened with our business. Most of the impact you actually can see in the following years. Because even if you have an agency, we'll build a few thousands of premiums obviously, it's a smaller amount compared to the overall premium that we have. And therefore, you don't see much of an impact in the short term. But based on the first results, based on the initial results and based on the discussions in the engaged discussion that we have with those guys, I do expect it to be significantly higher in the next coming years. And we are very, very optimistic about it. Now with regard to the second question was about the price increase. So right now, I mean look at any point of time, there is a test about price, about features. And we always take decision based on those results. So it's helpfully right now to commit if we not or if we will or not. But bear in mind that the last price increase was the most optimized one that we actually tested. So I don't anticipate any more significant price increase in the near future. But then again, it's hard to commit for the longer term because it really depends on the offering, it's based on the test that we are doing, or we will do in the future. But again, for this -- for the short term, for this coming year, I don't anticipate any more significant price increase. 
Operator: The next question comes from Nat Schindler with Bank of America Merrill Lynch. 
Nat Schindler: Just a quick question. For the last several years, you have been growing fairly consistently, fastest in the U.S., your most penetrated market. Are there any particular dynamics of the U.S. that make it more amenable to your services and make it harder to -- and are there things about, let's say, Europe, similar-sized market and similar economics that make it difficult to penetrate? Additionally, as you move with Asia, which has also not been able to hold its own versus the U.S., do you expect to see any significant change in that, in how your geographic distribution is going to look as you've opened offices in Japan? 
Avishai  Abrahami: So this is Avishai. I think that a lot of the reason that we've been growing in [ Asia ]. It's the English-speaking countries, right? I think that's the best definition. It's because we had more resources dedicated to that. There's no real reason why we cannot expand to other countries. Obviously, the size, the growth of economy, and the size of small businesses, medium-size businesses and tiny businesses as part of that economy is a huge contributor to our success in growing there. And the thing that we're doing in Japan is an example for how -- that we believe that by focusing more, we can get much better results. We've shown that in the past by, for example, in South America. So I think that this would be an incredible test. We already do see very similar results in quality in the Asia countries that we've been addressing. So hopefully, it will be as good as the U.S. or even better. But most of it is about focus dedicated to [ users ], getting the right benefit. We're getting the right translated help, agent that speak that language. Just opened a Dublin office so we can get more people in the European -- that will be able to work with the European languages. And supporting and translating content for our users. So this is pretty much a focus that will -- more focus this year on that than ever before. 
Operator: The next question comes from Lloyd Walmsley with Deutsche Bank. 
Lloyd Walmsley: I'm wondering on the payment side, you're now in a dozen countries. Can you give us a sense for just something like attach rate on new subscriptions? Or what kind of market share you're getting on payments for sites that are building in some sort of payment functionality or kind of volume you're processing? Anything to give us a sense for how this is launching and then how to think about 2020. And then just a follow-up on Corvid. Can you give us any more clarity on the revenue model and how you guys -- as it moves out of beta, how you guys are going to be charging for it next year? 
Nir Zohar: So, Lloyd, it's Nir. I'll take the first part about payment. So we don't want to start breaking out numbers here, but I can share that in terms of the attach rate, if you look at the new -- our new users that need some form of payments to some kind of activity, whether it's the stores or bookings or restaurant or anything, the vast majority are choosing Wix Payments, which we think is great and encouraging. And our goal is to both bring that number up as well as keep on expanding into more territory as time progresses. We're not at the stage of breaking out volume and GMV so early. I have to say that GMV growth with the combination of adoption as well as the growth of the businesses themselves. And obviously, our goal is to both expand this product while talking to our users, understanding their needs and helping them solve issues and problems in order for them to be more successful and obviously contribute even higher, to contribute even more through the GMV to the Wix business. 
Avishai  Abrahami: In regards to Corvid. So I think that Corvidization from our perspective build into 2 parts. The first part, as we said in the Analyst Day, is the ability for us to extend our TAM beyond just do-it-yourself, also to more professionals and partners, right? This is a market that is probably 10x the market that we've been addressing in the past. And where revenues are also higher per sub. So we can see that Corvid is doing that for us now. With Corvid, we're able to do all the initiatives we're doing in part, but the bigger part is that we are now starting to accumulate -- And I think that, just by itself, is a fantastic value that we get out of it and it's happening. The other side of it is that we do believe that Corvid, in essence, it can also provide a much more advanced packages that we can sell in much more expensive subscriptions. We believe that we'll be ready at some point next year to do that. We also believe that will be mostly based on functionality and not on any other model. So that'll be -- meaning that there will be some additional functions that will be available for somebody who is getting the higher paid packages. So that is currently our plan. But at this stage, I got to say, I'm really feeling happy about what we already do get from Corvid today, which is the real guide, the ability to go after developers and much more sophisticated partners. 
Operator: The next question comes from Sterling Auty with JPMorgan. 
Sterling Auty: On the customer support personnel, I think there was the description that the total head count, does that include the third-party companies that you're using for customer support? Can you just give us a sense, how many of those customer support personnel are going to be on the Wix payroll versus hiring third-party indirect customer support people? 
Lior Shemesh: Yes. So right now, the model is to go through our indirect. I'm talking only about the addition. It doesn't take into account obviously the -- some of the support that we have established in Japan that would be direct or in Dublin is also direct. But most of the additions, and we say that it's kind of a low-price areas, and this one goes through our third party. And we already have engaged with a few hundreds. We didn't expose the right amount of people, but basically, we're talking about hundreds that already started to work for weeks through our third party. 
Sterling Auty: All right. Great. And then one follow-up just on CapEx. It popped up a few million this quarter. Is that just the Japan office? Or is there something increasing in terms of your investment to support Corvid or something else? 
Lior Shemesh: So actually, it's not Japan. It's actually some of the expansions that we did to our New York office specifically and Dublin. So that was something that we took into consideration. Obviously, every time that we expand the business and we establish a new operation, so it's mostly about that. I do believe that in the second half, if -- we are going to meet the overall guidance that we provided, but that was the main reason for that. 
Operator: The next question comes from Mark Grant with Goldman Sachs. 
Mark Grant: As we try and profile these agencies that are coming in, as you keep bringing more and more on board through Corvid, I think we all appreciate the agency MJ example that you gave, which was very helpful. But can you give us a sense, is that agency indicative of the new agencies that are coming on board now? Or was that one that's been a paying subscriber for some time? And then additionally, can you give us a sense of what the annual contribution to collections is, whether from agency MJ specifically or an agency like it? 
Avishai  Abrahami: So I can answer the first part and Lior can take the second part. I think that this is kind of an average case. It's not the largest or one of the largest and it's definitely not the smallest. So -- and that's why we provided it. I would say it's somewhere in the median, the amount of websites that the agencies can have. Obviously, the value of that, if you multiply the active subscriptions by the amount of the -- pretty much average ARPU in Wix. I think that's what you're going to get in terms of the contribution from all of those agencies. The biggest value of those agencies is that even in the past, we would do marketing and acquire one user and that user would do 1 or 2 subscriptions. On average, 1.4 if I remember. Then this time, we have something different, right? We do marketing, we get an agency. And they do one then they do another, then they do another, and then they do another. Those are the customers that the agency have, tend to be one that will consume the more expensive products in Wix. And a lot of it is just because there is somebody to guide them on how to use those products. And we see things like the sand being used more often. And so -- and of course, the support from our side is lower. So long term and as Lior mentioned before, with subscription companies, those things tend to accumulate over time. It's not starting with a higher value. But long term, I think it was a significant contribution to our efficiency as a company and to our customer satisfaction. 
Lior Shemesh: Yes. We don't break down the collection between agencies and other customers. It might make sense to do it in the future, but not right now. So I cannot provide any information about this. 
Operator: The next comes from Ken Wong with Guggenheim Securities. 
Hoi-Fung Wong: When we think about improved monetization this quarter, can you help rank the drivers of ARPU across the price increase, attach and mix? And as we look ahead, does this dynamic change? 
Lior Shemesh: Sure. So in the last few quarters, most of the impact, I'm talking about the ACPS, the average collection in the U.S. because this is more relevant to the price increase. So obviously, in the last few quarters, the price increase was one of the main reasons. This quarter, we started to see also increase coming from adoption of our new products that we've launched like payments, like Ascend and so on. You certainly -- I certainly expect to see a continuation of this increase, but that will be mainly from adoption of new products. Does it make sense? 
Hoi-Fung Wong: Got it. Great. 
Lior Shemesh: Okay. 
Operator: The next question comes from Matt Pfau with William Blair. 
Matthew Pfau: Just wanted to ask a follow-up on ARPU. So the 29% increase in average collections per new U.S. subscription, how would that compare to the rest of the world? And is there anything such as pricing that's having an outsized impact in the U.S. relative to your other geographies? 
Lior Shemesh: So obviously, most of the price changes that we've made was actually in the U.S. and naturally, there is price differences because of what's happened to the currency in the last 3 years. So there is quite a big change. By the way, you can see that by -- some of it by comparing the average or the ARPU based on revenue that you see in the graph, meaning the $171 compared to the $228. So the $171 take into account all the regions, not just the U.S. But also, it doesn't reflect the last price changes because it's based on revenue. Again, as I mentioned before, we always -- every point of time, we do some kind of testing also outside of the U.S., but you can imagine that what fits for one country doesn't make sense to another country. So what we are trying to do obviously is try to optimize the pricing for each and every one of the countries that we are working. 
Operator: Our last question comes from Nick Jones with Citi. 
Nicholas Jones: Just one on the relationship with agencies today, how are agencies using Wix? It seems like a lot of focus on Corvid, but there might be a use case to maybe use some of the easier-to-use products on Wix if the agency's focus is just to get a site up quickly and then maybe deploy, which SEO is. So is there any color you can give about how agencies are using the platform today? Is it really Corvid focused? Or is it more of a kind of holistic platform to maybe replace some of the tech they're using? 
Avishai  Abrahami: So obvious -- thank you for the question. And obviously, not all the projects that -- as you said, not all the projects are using Corvid, right? Those would be only for the more sophisticated projects. But when we approach an agency or an agency approaches us well -- and they want to validate, prove they can do more for their project with Wix, Corvid becomes very important. I would estimate -- and this is my estimation from talking, not statistic that we did, that probably about 25% of the project that I'll be doing actually use Corvid. And 75% will probably not. And the thing is that most agencies preferring to work with one platform. Obviously, [ it's a 120 set ] for the customers. And we provide a lot of benefits also for those 75% like, for example, security. If you are [ work-based ] you need to do -- to work insanely hard in order to maintain the site to be secure with which this is automatic, right? That's just one example in one end, be able to change stuff. And again, we will pursue mostly the developer or -- any designer can do that. So we do a lot of added value there. But if a regular agency will find that for a lot of their projects they need to go to a different platform, it will make them -- it's harder for them to pick Wix. Today with Corvid, we pretty much removed that from the equation because now everything you can do on Wix. And Corvid is actually much easier than the other development platform. So you can do it faster and more stable and more secure now on Wix than on WordPress, Drupal or any of the other platforms. So I think this is pretty much how they use it, and they will build anything from simple landing page, which, of course, doesn't -- don't use Corvid to super sophisticated portals, which, of course, are mostly based on Corvid. 
Maggie O'Donnell: Great. Thanks, Nick, and thanks, everyone, for joining today. Have a good day. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.